Operator: Greetings and welcome to the Century Communities First Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, John Kolstoe, Vice President of Finance. Thank you. You may now begin.
John Kolstoe: Good afternoon. We would like to thank you for joining us today for Century Communities First Quarter 2016 Earnings Conference Call. After the market closed today, we distributed a press release detailing our first quarter financial results, which can be found in the Investor Relations section of our website at www.centurycommunities.com. Before the call begins, I would like to remind everyone that certain statements made in the course of this call are not based on historical information and may constitute forward-looking statements. These statements are based on management’s current expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those described or implied in the forward-looking statements. The Company undertakes no duty to update any forward-looking statements that are made during the course of this call. Additionally, certain non-GAAP financial measures will be discussed on this conference call. The Company’s presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Management will be available after the call should you have any questions that did not get answered. Hosting the call today are Dale Francescon, Chairman and Co-Chief Executive Officer; Rob Francescon, Co-Chief Executive Officer, and David Messenger, Chief Financial Officer. With that, I’ll turn the call over to Dale.
Dale Francescon: Thank you, John. Today on the call, I will review our operating highlights. Rob will then discuss our homebuilding markets. Afterwards, Dave will follow-up with further details on our financial results and balance sheet. Following our prepared remarks, we will open the lines for questions. We are very pleased to report another quarter of strong growth and profitability to start the full year 2016. During the first quarter, we increased our earnings 27% to $0.38 per share compared to $0.30 in the prior year quarter. This progress was made possible by opening and attractive communities growing our revenue and carefully managing our cost to enhance profitability. Specifically, our average selling price on home deliveries increased 18% with growth in each of our markets reflecting more favorable mix and core price gains. This improvement helped us drive a 120 basis points improvement in gross margin to 20.3% and a 60 basis points expansion in adjusted gross margin to 22.1% on our scalable platform. This underscores the strength of our expansion strategy and diversified footprint. This improvement also reflects our efforts to carefully balance our focus on growth while maintaining a sharp eye on margins and cost in order to maximize our profits and shareholder returns. The continuation of our growth is well under way for 2016 with a strong pipeline of communities, a deep land portfolio and ample capital resources to further increase our base of activity in a discipline manner. During the quarter we opened eight new communities to support additional growth in coming quarters. These communities are already experiencing healthy demand in traffic the macro environment is favorable in most of our markets and the spring selling season got off to a great start with our orders up 12.5% year-over-year during the first quarter led by Las Vegas and Atlanta. We believe we have built a strong foundation for our business. Our multi market approach affords us the benefit of the diversified operation with access to various buyer types and locations creating a more stable growth profile. Our seasoned operating team is focused on improving our cost base, generating margin improvement, and executing on a patient and disciplined land buying strategy to reload our land holdings in the right locations and at the right price. Beyond these positive factors, the long-term trajectory for housing improvement is immense. This outlook and our balance sheet provide us with multiple avenues to invest additional capital in our business to generate attractive returns such as our recent expansion into Salt Lake City. As we have demonstrated since our founding, we remain committed to building our company into a premier homebuilder. We are continuing to make substantial progress towards that goal. Looking ahead to the remainder of 2016, we remain on path to grow home deliveries and leverage our cost base to deliver another full year of expanded profits and return on equity. I’d now like to turn the call over to Rob to discuss our markets in greater detail.
Robert Francescon: Thank you, Dale, and good afternoon everyone. During first quarter, the overall trend in our markets was positive and we further positioned our business to benefit from the sustained upward move in housing demand. We grow our orders over 12% on good momentum and our pace of activity to 794 homes. We ended the quarter with a stronger backlog of 969 homes with a dollar value of 361 million. We recorded an 11% increase in ASP in backlog over the same period with prices moving higher in each market reflecting the success of our new communities and product offerings. We also continued strengthen our positions in our current markets by sourcing additional land parcels that meet our disciplined underwriting requirements. In the first quarter we acquired 617 lots for $29.8 million mainly in Atlanta and Colorado. We ended the quarter with an inventory of 13,188 owned and controlled lots, which provides us with a visible pipeline of organic growth for many years to come. This growth opportunity is broad based not only from a geographic perspective but also with buyer profile. We are opening new communities and offering new product that not only caters to move up but also first time home buyers. The ladder be in the market segment we believe has immense opportunity as it continues its recovery. This continued expansion provides us with wider target market for growth while also allowing diversify across additional buyer segments product types and price points to deliver more stable growth. Now, looking specifically at our individual markets, we had strong order growth in Atlanta, Colorado, and Las Vegas along with variant degree of success in Texas. More importantly, the strength of our diversified platform netted out stable improvement across most metrics. In Colorado, our operations were strong with home deliveries up 9.8% and average selling price up 12.3% to 439,000 compared to the year ago quarter. Order improved 12.9% on a higher absorption pace build by steady demand. Colorado continues to be one of the best housing markets in the country with new home supply still hovering around one month and its central location and diverse economy provided an influx of population growth. The employment growth rate remains solid at 2.6% during the last 12 months with an increasing number of job gains from the professional and business services sector which are typically higher paying jobs. In Atlanta, as the second largest builder, we continue to increase our land inventory to support our growing base of first time home buyers and expansion in the townhome product and additional move up categories. Average selling prices of deliveries and backlog were each up double-digits during the first quarter reflecting this development. Orders increased 15% and backlog value was up 26%. Core demand in Atlanta remains strong for our product; the new home supply is tight. The ability to increase prices exists in many of our communities and the cost of living remains relatively low attracting more population inflow. In Las Vegas, the market continues to transform itself for the better and supply and demand remains in balance. Single-family permits continue to trend upward with limited resale and spec inventory in the market place. We opened three communities featuring new product at various price points during the quarter contributing to the 31% increase in orders. We have an additional three communities expected to open during the second quarter from our existing pipeline of communities. In Central Texas, which comprises San Antonio and Austin, we had a strong quarter of growth in home deliveries but experience some softness at our higher price points. This is consistent with the quarterly choppiness we have seen in this market for the past several quarters. However, home supply remains below three months in both markets and healthy employment growth towards service job support positive long-term fundamentals in this market beyond 2016. In Houston, we continue to scale back our operations until market conditions improve. We believe this is a prudent approach with Houston now representing only 3% of both our total backlog and lot holdings. Beyond our existing foot print we remain committed to entering markets with attractive long-term fundamentals strengthening our current market positions and supporting our growth initiatives with a prudently leverage balance sheet. Our preferred market attributes include job growth, increasing household formations, limited housing supply and positive home price outlooks. Just this week we announced our entry into the Salt Lake City market with the acquisition of 47 finished lot and we currently own our control over 200 lots. The Salt Lake City market exhibits all of these characteristics I just described and is an exceptional fit within our long-term multimarket growth strategy. The local economy has been robust with total employment now at a 109% of the prior peak in 2007. The improving economy and steady population growth have produced strong buyer demand amid very tight home supply near two months. We expect to open our first community in the Salt Lake City area in the second-half of 2016. In summary, we are encouraged by our business momentum to start the year, our overall success is consistent with our objective diversify, our homebuilding operations across geography, product, and price point. As a result, we have a much stronger and stable platform with decreasing quarterly fluctuations. This provides us with more predicable visibility and a high sense of comfort in our long-term outlook. As we continue to grow we will be prudent with our capital and focus on high return investments to bring our platform and capital strength to bear. We look forward to accomplishing our goals in 2016 and beyond. I will now turn the call over to Dave who will provide greater detail on our financial results for the first quarter.
David Messenger: Thank you, Rob. During the first quarter, we achieved higher sales and a 60 basis points improvement in adjusted gross margin to drive increase in net income to $8 million or $0.38 per share compared to $6.04 million or $0.30 per share in the prior year quarter. For the first quarter, our pre-tax income was $12.4 million, an increase of 31% year-over-year. Adjusted EBITDA for the first quarter was $17 million, up 20% compared to $14.2 million in the prior year quarter. Home sales revenues for the first quarter were $181.1 million an increase of 17% compared to $154.3 million in the prior year quarter. This improvement in revenues was mainly driven by higher average selling price of home deliveries, increasingly to $336,000 in the first quarter of 2016 compared to $284,800 and the prior year quarter. Largely, due to a favorable shift in regional and product mix from new communities. As in the past, we expect prices to remain largely stable with normal quarter-to-quarter fluctuation as a result of regional and product mix. Home deliveries were 539 homes compared to 542 homes in the prior year quarter. Gross margin percentage on homes closed in the first quarter improved 120 basis points to 20.3%, compared to 19.1% in the prior year quarter. Excluding capitalized interest and purchase accounting impacts from cost of sales, our adjusted gross margin percentage in the quarter increased to 22% versus 20.2% in the prior year quarter. SG&A as a percentage of revenue was 13.9% in the first quarter, compared to 13.6% in the prior year quarter primarily as a result of higher home sales revenues which were offset by an increase in personnel costs and additional investments to support a higher number of open communities. We expect to gain addition leverage on SG&A as progress through the year. Turning now to our balance sheet and liquidity, we ended the first quarter with total inventories of $867.4 million and total assets of $957.6 million. Our total liabilities were $541.1 million including total debt of $415.1 million. During the quarter, we repurchased 158,859 shares of our common stock for an aggregate purchase price $2,388,000. We believe our balance sheet and capital resources firmly position us to continue investing in attractive land parcels and other value enhancing opportunities. We have over $165 million of total liquidity including $140 million of availability on our undrawn revolver. In addition, to the $165 million of liquidity, we have a $100 million accordion feature and a revolver which provides us flexibility to move quickly as we pursue growth and investment opportunities. In closing, we are pleased with our first quarter results. We are capitalized on expanded scale to support our localized strategies with enhanced product mix, operational enhancements and a stronger capital pace to generate strong returns. To that end, we remain confident about the prospects for continued growth in our overall business during 2016. Most of our housing markets continue to be supported by improving fundamentals including job gains, new household formations, and strengthening regional economies. As a result, we are reaffirming our full year 2016 outlook for deliveries to be 2,500 to 3,000 and home sales revenues to be in the range of $800 million to $950 million. We expect our net income trends to be seasonally similar to 2015, with our first quarter experiencing our lowest closing and net income. We expect each quarter to grow as the year progresses, we close and open new communities and leverage our SG&A. We look forward to updating you on our progress in coming quarters. Operator, can you please open the lines up for Q&A?
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question is from the line of Jay McCanless with Sterne Agee. Please go ahead with your questions.
Jay McCanless: Good afternoon, guys, great quarter. First question, I had can you talk a little bit more about the expansion in the Salt Lake City and I guess first, what type of products you are going to be offering there? And then also should we expect SG&A leverage to probably to be back half weighted once you guys have spent the money to get going there?
Dale Francescon: Jay, this is Dale. Salt Lake was just it is a market that we’ve been looking at for expansion for some time. It has very attractive market fundamentals and it’s obviously, geographically close to Colorado. One of the other attributes that made it attractive was the fact that the product is fairly consistent with the product in Colorado and we are starting up by exporting product from this market to that market. And then, the other attribute that it had is we had home grown talent in Todd Amberry that was ready to step-up and run a division and so all of those things just came into play and why during a Greenfield in Salt Lake City made sense.
David Messenger: And Jay, from the SG&A standalone, you are looking at our closing guidance for the year and revenue guidance were up about 20% to mid-point our revenues. And so with the lower closing of revenue number seasonally in the first quarter that takes up our SG&A. But over the course of the year we expect that to come down and be more similar to what we had in 2015.
Dale Francescon: Then in terms of the price segment we are going after in Salt Lake City. It is going to predominantly entry level with some first time move up.
Jay McCanless: First time move up, okay, perfect. Then on the land side you talked about how the has been in this quarter was concentrating Colorado and Atlanta. Could you talk a little bit about what you’re buying in Atlanta and especially focus on the expansion in the more up communities as you guys grow from the Peachtree position?
Dale Francescon: Sure, so we’re continuing to source and purchase land in Atlanta both in the entry level price point as well as move up price points in ten to two on a watch dial and the ten to two range in Atlanta. We also have a transaction that’s inside the parameter in Atlanta which in a prime location and so where we are still expanding quite a bit on the entry level price points we are moving in that to some other market segments. In addition, we have started townhomes in that market as well, Jay.
Jay McCanless: Okay, great. All right, that’s all questions I had, thanks again.
Dale Francescon: Thanks, Jay.
David Messenger: Thanks, Jay.
Operator: Our next question comes from the line of Patrick Kealey with FBR. Please go ahead with your questions.
Patrick Kealey: Hey, everyone, thanks for taking my question.
Dale Francescon: Hey, Patrick.
Patrick Kealey: So sticking with the land strategy, I think you talked about on the prior call about may be a shift a little bit towards options over own as we kind of look forward here over the cost in next 24 months. So can you may be give us insight into may be what the right proportion would be you know you are 70-30 here at the end of first quarter. What would be kind of ideal mix if we look out and may be which market are probably presenting the opportunity to make that shift?
Dale Francescon: Sure, you know Patrick, part of the ratio is kind of where we are at any particular point in time. We’re comfortable with the 70-30 overtime we would like to have shot a little more towards the balance. And however, some of that is market dependent and opportunity dependent. We look at the areas where we have the availability of having options. Atlanta obviously is at the top of our list in terms of the transactions that lend themselves to more of a control situation. Same thing in some of the Texas markets that we are in, you’ve got that opportunity. We don’t have as much opportunity in Las Vegas or in Colorado for that and we anticipate that we’ll have some opportunity for that in some Salt Lake City as well.
Patrick Kealey: Okay, thanks, that’s very helpful. And also, not sure if you have in front of you, but can you give us a sense of how April shaped up for you guys may be kind of on a year-over-year basis and may be if there is any one market or two markets that stuck out in the quarter what’s calling out, I think that’ll be great.
Dale Francescon: Sure. We were up in the first quarter roughly a little over 12% year-over-year when we look at April that was a similar trend, the market in terms of orders has started out well. We have seen something other than a continuation of that as just going forward. We are happy with performance and in all of our markets with the acceptation of Houston and we are not different than anybody else that builds in Houston other than we have a very small percentage 3% of our backlog is in Houston and that is not going to change in the near-term. Outside of that particular market we’re happy with how all of them have performed.
Patrick Kealey: Okay, great, thank you.
Operator: Thank you. Our next question comes from the line of Nishu Sood with Deutsche Bank. Please go ahead with your questions.
Nishu Sood: Thank you. Dave, I just wanted to follow-up on the SG&A topic, you mentioned that, with the lower revenues the SG&A didn’t look as good as this quarter. But as the leverage comes through the revenue has come through in the remaining quarters of the year it would be level on a year-to-year basis. I guess what I was thinking was that, it sounds like some of these expenses from market expansion may taper off as time goes on. So when would we expect the 20ish percent revenue growth to drive SG&A down, because the revenue is going up 20% you would expect some pretty decent declines in SG&A on a percentage basis? Or maybe another way to think about it as you know what kind of run rate can we expect for the total SG&A this year? It’ll be a little bit of bump so should we expect 27ish million for the remainder of the year and when would we begin to see leverage again?
David Messenger: I think we will start seeing some leverage here as we gets to the second quarter but definitely as we hit Q3 and Q4, similar to what happen in the last where from a revenue and closing standalone kind of start-up the year a little slow but then the back-half year we pick it up and that’s where you see a lot of leverage coming through. And so, we’ve historically been running about a 70-30 split on our G&A between fix versus variable. So, I think we keep that same ratio you’ll see us leverage the G&A platform really in Q3 and Q4.
Nishu Sood: Got it. So on the back-half of the year SG&A percentage should be declining on a year-over-year basis, is what you are saying?
David Messenger: Yes.
Nishu Sood: Got it, okay, that helps. The entry level buyer, Dale I think you were talking through the strategy on this. So a lot of builders talking about the entry level, as I think about you folks and going into the entry level, first I’d appreciate your thoughts as to what has prompted this shift the entry level, what are you seeing in the market, some people are siding affordability, some people are just siding that you know in the move up market there is not as many opportunities. So your thought process on entering and also your business differs then some of the other builders in that the organization is much more recent in terms of like your acquisition as that you made in the different area. So Atlanta, obviously, that operation will be much more suited to entry level it is a lot of entry level already. You know in Denver there is more of mix so, how on a nationwide basis do you push down the strategy like that when your divisions are so different because they have been acquired and had different operations and products to begin with.
Dale Francescon: Well, we have always done entry level housing and it is in varying degrees in each of the different divisions. And so from our standpoint, it is not really a new strategy, it is just being opportunistic on where we see the best investment opportunity. So you mentioned Atlanta, as the second largest builder in Atlanta we do a lot of entry level housing and it is something that even though we have expanded the product deliveries to include, move up we are not backing away from entry level in any way and we grow on that part of the business as well. And so, we look at each one of our markets we do entry level to different degrees so that is not a new strategy for us.
Nishu Sood: Got it, got it. So what are you seeing out there in terms of the opportunities are better from what perspective just the land prices or are you seeing great absorptions in your entry level products, it makes sense for more capital? What specifically is making those opportunities more attractive right now?
Dale Francescon: Part of it is we see the entry level buyer continuing to come back into the market. It’s something where we think that there is a significant amount of demand we think that’s going to continue to increase over time. And so, we want to be in a position to be able to deliver homes to that buyer profile. And it is challenging in certain cases to make economics work, but it is a matter of finding those opportunities and capitalizing on them.
Nishu Sood: Got it. Great, thanks for your thoughts.
Dale Francescon: Welcome.
Operator: Our next question comes from the line of William Wong with JPMorgan. Please go ahead with your questions.
William Wong: Thanks, good afternoon guys. So Dave, I just had a follow-up on the SG&A, so you mentioned that in the back-half you guys expect some leverage. So for the full year just given where you are with the first quarter, do you think that on a full year basis you guys will see SG&A as a percentage of revenue be down a little bit versus the prior year?
David Messenger:
29:57:
William Wong: Okay, thanks. And with regards to the gross margins, I mean what does gross margins look like currently in your backlog? And then just, I think you guys have been pretty consistent on the gross margins right around 21% - 22% for the most part is that something that we should expect as well just kind of going forward with your new additions, I guess what you told, you guys haven’t seen any closing there yet since its opening in the back-half of this year. But in terms of just your current operations, do you think that 21%-22% is kind of right level to be thinking about it?
David Messenger: Yeah, I don’t think our numbers will be similar then what we had in 2015. Now, let us say from a modeling for your modeling practices Utah has minimal impact of any this year.
William Wong: Okay, great. And then just lastly, in terms of your geographic foot print now guys, you are expanding into Utah. How should we think about your growth going forward? I think you mentioned before that you are looking one of the best investment returns would be? But if you think about some of the division that you are operating in, you had any additional geographies that you think might be attractive right now. And in terms of organic growth in Utah you mentioned there are couple of factors that play in terms of manager being ready to be promoted in approximately to Colorado. I guess, outside of that there, any other regions that you think might be attractive at this point?
Dale Francescon: Well, our expansion is still in our mind best accomplish through acquisition of other homebuilders. And even though we did a Greenfield and Salt Lake City that was just those circumstances that I discussed and so we are continuing to look at acquisitions candidates. But we have got pretty discipline standards in terms of what we think make sense for us and we haven’t found anything recently that has risen to that level. In terms of geography, the Southeast is something that we have continued to look at in terms of the Carolina it makes sense given our large presence that we have in Atlanta to be able to leverage some of the resources that we have in Atlanta into some of those adjacent states. As well as we look at different opportunities in the west, but those are probably the two areas that we have been the most focused on.
William Wong: Okay, great, thanks guys.
Dale Francescon: Welcome.
Company Speaker: Yeah, thanks.
Operator: Our next question comes from the line of Joel Locker with FBN Securities. Please go ahead with your questions.
Joel Locker: Hi, guys, just I guess little more clarity on the SG&A may be if you could break down the fourth quarter by just kind of fix cost and what was part of commission and if there was any kind of one time in there just with the $3.3 million sequential increase?
David Messenger: -- revenue picks up trying to get into some - detail with you to go through the fourth quarter versus first quarter. But really, SG&A still run at roughly 70-30, fixed versus variable and not too many things being different from the fourth quarter to this quarter.
Joel Locker: Was it just a base to jump up, I mean a lot of what just it seems like that was I guess a little higher than what I had expected.
David Messenger: There are some base cost increases related to personnel, some annual merit increases, but nothing else in there that’s really too significant that would have cause a significant jump.
Joel Locker: Right. And I guess, moving along to backlog conversion I mean that was a little stronger and I think what people expected to turn around a little over 75%. What do you expect going forward second quarter I know Atlanta is giving you some leverage there where you can convert homes pretty quickly there. But do you expect it be up year-over-year again in the second quarter?
Robert Francescon: Backlog conversion, yeah, in terms of our backlog conversion year-over-year, I think the first quarter we had a very high conversion roughly 75%, I think that you are probably going to see us on a consolidated basis trend back towards a 50% to 60% which is historically where we run.
Joel Locker: Okay. So even with the Peachtree acquisition, which is obviously large part of your business now…
Robert Francescon: Yeah, I think, if you look at our conversion ratios each quarter for 2015 that is about where we are running and that includes a fair amount of the Peachtree acquisition we have done 1,174 homes in the last year.
Joel Locker: Right. And then what about the share buyback I guess in general just you guys bought back a little bit of shares in the second quarter I mean, I guess first question, were you guys active also on the second quarter?
Robert Francescon: So we bought back just under 159 thousand shares in the first quarter as we found certain opportunities we typically don’t comment on activity in the second quarter but for this point we can because we have been in the blackout since the quarter started and earnings happened and we continue to evaluate it as the capital alternative.
Joel Locker: Well that is what I was thinking, with your shares there is a capital choice and basically with your shares trading below at $19 your tangible book if that would just be an ongoing operation until the market just decide to put capital all back in the homebuilding business just to be active in the market just to take advantage of situations.
Robert Francescon: It will be an opportunity that we are continuing to evaluate as each trading day passes.
Joel Locker: Right. All right, I will get back in the queue. Thanks a lot.
Robert Francescon: Thank you.
Operator: Our next question comes from the line of Alex Barron with Housing Research Center. Please go ahead with your questions.
Alex Barron: Thanks and great job, guys.
Dale Francescon: Thanks, Alex, good to hear from you.
Alex Barron: I want to understand, it seems like you guys are off to a really strong start and from what we can tell April is off to a good momentum as well. So what would kind of and given your strong backlog conversion in this quarter, what would cause you to not raise the bottom end of your delivery guidance, is it just conservatism of what would actually cause you to hit the number in the low end it seems to like you guys are going to be closer to at least the mid-point.
David Messenger: Hey, Alex this is Dave. I think you know, having provide the guidance in February now we are in May, we are at the start of the selling seasons or kind of it is the selling season with a lot of year left ago. I just we think where we stand right now from the guidance perspective we feel comfortable with as the year progresses we’ll let you know if we need to adjust the range accordingly.
Alex Barron: Okay, sounds good. And then I guess with regard to your entry into Utah. Did you guys consider may be buying somebody there to kind of king scale and jump start that or is there an advantage to doing at Greenfield?
David Messenger: You know Alex it’s really not an advantage doing a Greenfield we’ve looked over the last few years at a number of different opportunities in Utah we just haven’t found a right fit and when we looked at the opportunities there to do a Greenfield we thought it made sense just given some of the unique attributes. But again, as I indicated earlier doing Greenfield is not our first choice, our first choice our market expansion is to do it through an acquisition but everything has to make sense on that acquisition and we haven’t seen that in Utah.
Alex Barron: Okay. And then in terms of Vegas, I believe you guys are expanding pretty aggressively there your number, can you just comment on what you’re seeing in that market?
David Messenger: So this was a concerted effort to that we started last year on getting new positions in that market and they are coming to finish now and so in Q1 we opened up three new communities and in Q2 we’ll open up three additional communities and we’re bullish on Las Vegas we like the market and we’ve got a great team in Las Vegas and feel really good about the prospects right now.
Alex Barron: Okay well good luck and good job thanks.
David Messenger: Thank you, Alex.
Operator: Our next question comes from Jay McCanless with Sterne Agee. Please go ahead with your questions.
Jay McCanless: Hi, thanks for taking my follow-up. Just wanted to ask on Central Texas you said that I believe higher price points were the issue there can you talk about what you’re doing from a technical perspective to address that and then also maybe talk about how you see San Antonio rolling out over the next 12 months?
Dale Francescon: When we look at our operation in Central Texas, it started with the acquisition of the Jimmy Jacobs Hallmark - a number of years ago. The focus on that particular business was a higher end product which we’ve continued as our primary positioning there. Overtime we’ve added some more affordable products and as we have seen the market somewhat adjust we’ve continued to move towards more affordable products, so it’s just a natural transition given what we’re seeing in the market. As far as San Antonio is concerned we look at Austin and San Antonio is our Central Texas operation we’re active in both of those markets and we like both of those markets.
Jay McCanless: Okay that sounds good, thanks again.
Dale Francescon: Thanks, Jay.
Operator: Our next question is coming from the line of William Wong with JP Morgan. Please go ahead with your questions.
William Wong: Hey, guys, thanks for taking my follow-up, just regarding the Denver market have you guys seen any increased challenges with labor relative to where you guys were may be in last year also in the back-half of last year?
Dale Francescon: No not really its labor has been tight here for some time. We’ve got extensive contacts in this market and as we look at it it’s something that’s part of our business is to manage our trade partners and it’s something that we’ve been doing and we have not seen additional pressure over and above what we’ve been experience for the past year or 18 months.
William Wong: Great. And then Dave, I’m not sure if I got this, but can you remind me what’s the gross margin backlog look like relative to the first quarter?
David Messenger: As I said before earlier on the call, roughly we think for the year we’re looking at 21 or 22 or even paying out in the past now break - different that were for 2015.
William Wong: Okay, perfect. Thanks, guys, I appreciate it.
David Messenger: Thank you.
Operator: The next question is coming from the line of Patrick Kealey with FBR. Please go ahead with your questions.
Patrick Kealey: Thanks for taking my follow-up, just one quick question on Colorado you guys did see kind of a nice jump in absorptions there. Can you kind of talk about the incentive environment there I’d assumed with one month supply that’s probably playing out in your favor but just trying to get a sense of was the drivers of the absorptions there just purely demand or any other kind of changes in that maybe kind of help us forward?
Dale Francescon: Yeah, Colorado has been a low incentive market place and we see that continuing with the lack of inventory in this market for at least foreseeable future and so when we look at that it’s really just in demand driven I suppose to any incentive driven in our sales.
Patrick Kealey: Okay, thank you.
Dale Francescon: Great, thank you.
Operator: Thank you. At this time, I will turn the floor back to Dale Francescon for closing remarks.
Dale Francescon: Thank you, operator and thank you again to everyone for joining us today. We look forward to speaking with you again next quarter.
Operator: Thank you and this concludes today’s teleconference. You may disconnect your lines at this time. And thank you for your participation.